Operator: Greetings and welcome to the Alexco Resource First Quarter 2013 Financial Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Ms. Vicki Veltkamp, Vice President of Investor Relations for Alexco Resource Corp. Thank you. Ms. Veltkamp, you may begin.
Vicki Veltkamp: Good morning everyone. Today is Thursday May 9, 2013 and I’d like to welcome you to Alexco Resource’s first quarter conference call. This conference call is being webcast live and it can be accessed at the Company’s website at www.alexcoresource.com. You may sign up on the Alexco website to receive future news releases and other event updates as they’re issued. You’ll also find Alexco’s news release with the quarterly and financial results there. For a limited time, a recording of this conference call will be available by telephone and the instructions on accessing that are also on yesterday’s news release. Giving presentation on today’s call will be Clynt Nauman, who is our President and Chief Executive Officer; and David Whittle, Alexco’s Chief Financial Officer. Following their presentation, we will open it up for question-and-answer period and our Chief Operating Officer, Brad Thrall, who will join us for that. But before we get started today, I need to remind you that some statements may be made today by the management team that contain forward-looking information. Our business involves a number of risks that could cause results to differ from projections and investors are urged to consider these disclosures and discussions pertaining to risks that can be found in Alexco’s SEDAR filings. It should also be noted that past performance discussed in this conference call is not indicative of future results. So now, I’d like to turn the call over to Alexco’s President and Chief Executive Officer, Clynt Nauman. Clynt?
Clynton R. Nauman: Thank you, Vicki. Hello everybody and thank you for joining us today. We will be talking about our first quarter financial results clearly. We released our initial production statistics for the quarter earlier in April and you’ll also remember that in our year end conference call in March, we provided guidance that we expected lower than normal silver production in the first quarter of 2013. So as you come with no surprise that our earning were down and cash cost per ounce were up during the first quarter as we mined fewer tons and lower grade material and therefore produced fewer ounces of sliver. The primary reason for this is that during this period, we’re mining in areas peripheral to our original resource, and therefore it was lower grade relevant to Bellekeno’s average resource grade, even though it was still averaged over 630 grams per ton silver or about 19 ounces per ton of silver, this material was still cash flow positive in the $28 silver market which was the average price in the first quarter, and leaving it behind would have meant that the resource would be lost sterilized by later mining and filling cycles. Further development of these areas was established over the last year or so, so with a conscious decision to sequence through that portion of the resource while we’re treating back toward the central rate of the Southwest deposit at Bellekeno. As a result of this lower production as well as a $4 decrease in the realized price of silver compared to last year’s first quarter. We ended the quarter with an approximate $17 million topline revenue drop which was or nearly 30% less revenues in the same period last year. This resulted in a net loss of $2.3 million or $0.04 per share on production of about 380,000 ounces of silver. For comparison during the same period a year ago we produced about 580,000 ounces, 200,000 ounces more than the first quarter of 213,000 and about $1.3 million of net income in the same period last year. So, our income swing was about $3.6 million quarter-over-quarter on about 200,000 ounces reduced production. Generally speaking our production is around 500,000 ounce per quarter range which is what we expect going forward at Bellekeno. Certainly, April production is improved and on track for a more typical quarter. Because of the narrow-vein low-volume nature of our Bellekeno mine about 85% of our costs are fixed, mainly across nearly as much to mine 300,000 ounces of silver as it does to mine 500,000 ounces. Because of that I expect to see lower cash cost per ounce during the second quarter as we returned to more normal levels of silver production. Our cash cost of production for the first quarter averaged $16.67 per ounce of silver net of by-product credits, compared to our 2012 average cash cost of production of $11 per ounce. Lending way to the high underlying fixed cost component as Bellekeno was the fact that nearly the entire increase in unit costs from $11 to $16.67 per ounce of silver quarter-over-quarter is due to reduced volume or the reduced number of ounces produced during the quarter. What I’m trying to point out is that mine and mill were not suffering from any unusual issues or problems, it was simply a lower grade of ore, less ounces and a high fixed cost components that led to the increase in cash cost per ounce, that’s why I expect to reduce cash cost per ounce during the second quarter. As you all know, over the last months, over the past months we’ve seen precious metal prices take a hit and a question put to mining companies is naturally being can you survive for a period of much lower metals prices? In my view optionality is the key here and Alexco has many options that others don’t necessarily have. In order to preserve our cash flow, we can do a number of things if necessary, we have total management discretion of discretionary costs and that would be expiration, development and the capital projects, we can certainly move to lower our cost of production through incrementally moving towards the self-mining profile and of course, we will be increasing throughput relative to Q1 of 2013. We also have, because of our underground operating, we have capacity and ability to adjust mine plants selectively towards higher grade areas and in addition to that we have our environmental group which is performing increasingly more impressively, but still can be optimize beyond this present form, and we also need to make why this use of cash on hand. Right now we’re reviewing our operating options with a view to reducing our longer term capital development and the face of lower prices as well as balancing current operations against emerging opportunities in the district, we need to do this with a sense of urgency bounded on cash conversation. In light of this I can tell you that it’s becoming very clear to us that our new discovery at Flame & Moth and the 23 million ounces, 24 million ounces of resources there is becoming an increasingly important part of our thinking, we are looking carefully of return on capital at all our sites, Bellekeno, Onek, Lucky Queen, Flame & Moth. And it’s important to remember that the price sensitivity of these different styles of deposits will ultimately drive any final commercial production decisions, along these lines we are preparing and we will publish life-of-mine plans at a PEA level for each of the deposits mentioned. Nevertheless, in the short-term we need to measure the cash flow impact of continuing to move these deposits to commercial production and that’s the analysis that is happening at present. Probably every mining executive would tell you that his company, his/her company is undervalued at current share prices. But I can tell you that I am bordering on astounded at the value the market is placed on Alexco right now. It’s pretty hard for me to believe that our market cap could be around a $100 million, when we have so much value but it’s in the ground, on the ground and in the ground with infrastructure, equipment in our mills, 70 million ounces of high grade silver resources in the ground, mining production, two more currently in development in a profitable environmental company. I’m shaking my head at this turn of events, but believe this is the best course of actions to keep our heads down, operating our business to conserve and build cash and be in good shape, where the lot of market turns in our favor as I believe it ultimately must. I’ll have more to say specifically about our operations in a minute, but first I will turn this over to Chief Financial Officer, David Whittle to run through the numbers for the first quarter, David?
David Whittle, CA: Thanks, Clynt. This financial reported first quarter of Alexco’s 2013 fiscal year, as we go through the presentation, bear in mind that we report in Canadian dollars, so all dollar amounts we talk about today will be in Canadian dollars unless otherwise stated, and any time we talk tons, we are talking metric tons. For the first quarter, we saw overall consolidated revenue of CAD$16.7 million and net loss of CAD$2.3 million or CAD$0.04 per share. In the comparative quarter, we reported revenues of CAD$24.7 million and net earnings of CAD$1.3 million or CAD$0.02 per share. Our total revenues this quarter from Bellekeno mining operations were CAD$14.5 million compared to CAD$23.2 million in last year’s first quarter. The decrease was primarily related to the lower production recorded this quarter compared to last quarter with roughly two-thirds of the impact attributable to lower grade and roughly one-thirds of lower tonnage throughput. For context, silver production this quarter was 379,616 ounces, compared to 581,808 ounces in the first quarter of last year and 595,823 ounces in the immediately preceding quarter. Gross profit of Bellekeno in the quarter was effectively breakeven at CAD$32,000 compared to CAD$7.2 million in the comparative quarter, with a relative decline due to the reduced revenues as well as higher unit costs. Cash costs of production for the quarter were CAD$16.67 per ounce of silver, increased from CAD$11.01 recorded in the comparative quarter, again this increase is fully attributable to the quarters reduced production volumes. As we’ve often noted in the past, Bellekeno was a high fixed cost operation and our cost per ounce is strongly leveraged against production volumes. Our total dollar mining and milling costs were actually slightly lower than the first quarter of last year but as a result of our high fixed cost structure our per ounce unit costs were significantly increased as a result of the lower silver production. Roughly speaking, we estimate cost per ounce were increased by $5.50 over the comparative quarter, as a result of this quarters lower production. Indeed our all fronts other than production volume, operations were pretty solid across the board, notwithstanding the lower production grades, total dollar mining costs were reduced this quarter, while total dollar in milling costs were steady. G&A costs were lower this quarter, compared to last quarter at $4.4 million versus, $4.8 million that includes corporate G&A as well as site overheads. And overheads related to the environmental, Alexco Environmental Group. The AEG has continued to grow with revenues in the quarter totaling $2.2 million, compared to $1.6 million in the year before and gross profit of $807,000 compared to just $57,000 in the first quarter of year before. Alexco’s net working capital at March 31, 2013 totaled $15.8 million including a cash position of $13.7 million, which compares to a cash position of $23.1 million at December 31, 2012. The main elements of the reduction in the cash balance over this quarter are as follows: the reduced cash flow from operations due to the lower production volumes for the quarter, we incurred Bellekeno development and sustaining capital cost is about $2 million. We incurred approximately $2 million in development cost of Lucky Queen and another $2.5 million at Onek, we spend about $500,000 in reclamation security being posted against Lucky Queen, Onek on the issuance of the quartz mining license we spend about $800,000 in the quarter for general Keno district exploration expenditures. We spent approximately $1.3 million to buyout our large portion of the contract in mining equipment at Bellekeno, this is a strong investment which should pay-back within six months. And we have an expenditure of approximately of $1.9 million to fund future settlements under the restricted share unit plan that was adopted in late 2012 this is the one-time expenditure for the year in the first quarter here only. Of these items only the Bellekeno development sustaining capital and the general exploration expenditures are recurring in nature, but rest are generally one-off and restricted to this quarter. In addition, in April, we completed a $7 million of flow through common share offerings which on a pro forma basis lifts our March 31 cash balance to just over $20 million, the $7 million used, of course, earmarked to fund our surface exploration in the Keno district but it can be spent any time over 2013 or 2014. Given the drop in April in precious metal prices but silver coming down with a $24 level, we are undertaking the comprehensive review of operations and our implementing cost cutting measures with short-term focus initially, but looking at longer term prospects as well. Our exploration expenditures for the year are now funded with the flow through financing just completed and even at $24 silver, so long as we maintain our plan production volumes and the hold to our full year production guidance and no other surprises arising. We do not expect to see any significant reduction in our non-flow through cash treasury by the end of the year. I will now turn the call back to Clynt.
Clynton R. Nauman: Thanks, David. If we have any specific questions about the financial results we will take those at the end of the call. As we noted in the news release Bellekeno mine production and grades were low in the first quarter due to sequencing of mining through lower grade areas of the Southwest Zone. Now we are in the process of sequencing into higher grade central areas of the Southwest and 99 Zones which are the general areas scheduled for mining for the rest of 2013. Over the year we expect to balance out the first quarter as our long haul start up sequence toward the central areas of Southwest Zone and our 99 Zone and cut-and-fill mining supplements feed was high grade material. For the quarter we saw the Bellekeno mine produced a little over 20,000 tons of ore with mill throughput mirroring that. Average mill throughput in the first quarter was 223 tons per day compared to 234 tons per day in the first quarter of calendar 2012, and 290 tons per day during the fourth quarter of 2012 the immediately preceding quarter. The mill is being keeping [access] with the mine for the past two quarters, and we’ve run through our excess stock piles of ore, so we’re in balanced presently between the mine and the mill. Along with the review of our underlying cost structure we have completed the purchase of selective units of mining equipment in the first quarter as David mentioned, the move which I think will reduce our cost by at least $1 an ounce, and we’re continuing to look at and progress towards the self-mining option. As we speak we’re selectively replacing some mine related positions with Alexco employees and over the longer turn, we’ll replace more that will further improve our cost structure. The work on that district wide preliminary economic assessment continues because of regulatory constraints or restraints it is necessary for us to complete new work on all projects within the district at the same time before releasing new information on any of them we’d make the process fairly (inaudible). As previously mentioned so our plan right now to combine the recalculated resource of Bellekeno with a new life-of-mine plan at Bellekeno life-of-mine plans for each of Onek and Lucky Queen and also include our preliminary recent work on the future of the Flame & Moth deposit, this will be a Bahamas report not out referenced but require by the rules, and we’re working on it at the present time hopefully, to have complete this quarter but as I said, it’s a large in gold documents that we’ll see. The Bellekeno’s future looks promising we are currently mining the new Thunder Zone discovered down plunge of the Southwest Zone by a surface drilling a number of years ago. And we are broken through to the 600 level, where we’ve never been before, where underground exploration in 2012 indicated promising results. Turning to the development projects an update there the water use license for Onek and Lucky Queen is moving ahead, although it said what we think is a glacial phase. However, we had absolutely no indication that there are any issues with it and we are just waiting for the final word. We are essentially ready to begin production at Onek, once we received the water license definition drilling for detailed mine planning on the 960 and 970 levels is underway, the final decision to pull the trigger here, where we made in light of current metal prices, cash flow contribution and the best return on capital investment. In terms of exploration, last time we told you about our exploration success during 2012, particularly with Flame & Moth. During the first quarter we announced a new resource at Flame & Moth, we have now and we have now built this to about a 23 million ounces of silver more than twice what we had, when we started mining at Bellekeno. All of this is to say that I am more convinced than ever, that we’ve done, that what we’ve done on the district so far, is barely scratch the surface of the potential in the area generally, the long-term value is certainly there. Our exploration budget, that will be smaller this year, between $3 million and $5 million, this is will be funded by the $7 million flow through share financing completed last month, it includes drilling priority holes to better define the limits of mineralization and to add immediate resources and ounces at the Flame & Moth deposit, as well as follow-up on the discovery that we have about half a kilometer to the South of Flame & Moth. We also want to step back and give our team time to do some technical review in all of the exploration results and to identify new exploration targets for future drill programs, those results have been collected over the last several years as you know. We’ll also be initiating a baseline geotechnical, metallurgical and environmental work programs as well as preliminary engineering at the Flame & Moth deposit, and this work will supplement our studies of future potential production options in context with existing mines and other opportunities in the district. I truly believe that Flame & Moth will surpass anything we’ve done so far at Keno Hill and I think continuing our work here is very important to the future value of the company. Our other exploration focus will be underground drilling in Bellekeno to follow up on promising holes as I mentioned before that we drilled from the surface a several years ago and we have only just reached in the underground workings in the deeper part of the mine and certainly we have surface, prior surface exploration that sets down there of nearly 80 ounces per ton silver. I should also mention the Alexco Environmental Group it had an excellent, it had a good year last year and it continue that performance into the first quarter with revenue of CAD$2.2 million of gross profit of more than CAD$800,000 and building to a 37% gross margin. The course for 900 pound driller in the room here is our cash burn in the first quarter continuing development of the rate that we did in Q1 is not sustainable clearly, but we’ve completed our development work at Onek, Lucky Queen is stayed behind that and we’re considerably scaling back our exploration as well as looking carefully at our underlying costs. And following on from what David said given these changes, I expected our cash burn will less than significantly for the rest of the year. At that point I’ll turn it back to Vicki.
Vicki Veltkamp: Thank you, Clynt. [Jenna], could you give the instructions now for the question-and-answer period?
Operator: Yeah, thank you. (Operator Instructions). Our first question comes from the line of Michael Hebner with Wunderlich Securities. Go ahead with your question, please.
Michael Hebner – Wunderlich Securities: Hey, Good morning, getting back to your question, your comments about the market cap and the assets you have, can you delineate so you got the $20 million in cash and what the equipment and how much money you spend looking at this thing is on debt basis, what somebody else to pay for this and I mean just kind of look at with the assets and what you put into this?
Clynton R. Nauman: See, I’m not sure that I probably understand the question, are we talking about value or…?
Michael Hebner – Wunderlich Securities: Yeah, I mean so in property equipment what do you think that’s worth and so the silver you’ve got, you said 27 million ounces and so, what is that, when you add up all the value that you think, I mean it’s just that nominal value of these equipment and what do you think the value of this assets, the sliver and just laundry list of things?
David Whittle, CA: Well, we got 63 million ounces, 65 million ounces in the ground demand, if you look at some of the prior M&A activity in the quarter before this downturn you saw people paying between $3 and $5 an ounce for that, for those ounces in the ground. That’s no guarantee assurance that’s what they worked at in the current market but certainly we believe that the value is there and the point is that here we have a mill established in the district, we of course through silver, we didn’t have invested about between $3 million and $25 million in that mill, it’s a very valuable asset, mining equipment as I mentioned there is several million worth of mining equipment there but, really the value in this district is the upside in the exploration, it would be important to point out, that inception today we have been finding and adding ounces to our resource at Keno Hill at a loaded cost of $0.88 per ounce. And over the course of the last three or four years, we have been adding ounces that maybe $0.55 per ounce. So, the huge upside in the district, the district needs to build out, to unlock that value it certainly is not unlocked to 250 tons a day from Bellekeno, it will be unlocked when we get up in the full 500 ton per day type production from a combination of these other deposits going forward, and I think you shouldn’t under estimate the value that’s tied up in the environmental company, which is on track to once again increase its revenues this year has great margins and it’s building its own internal value, so I haven’t given you a specific number but hopefully there is a match attributes that can at least point you in the direction as to what the ultimate underlying value, might be in the company.
Michael Hebner – Wunderlich Securities: So, taking that what is the insiders did the insiders bought any stock or you’ve been precluded, I know what the earnings is up, when will the window go down and does that even, plan on buying some stocks because of the values?
Clynton R. Nauman: Well, I can’t speak for anybody else. I’m the biggest private shareholder in the company, so, my pain is as much as anybody else’s and I’m blacked out and there is nothing that I can do in the short-term and well, there is just nothing I can do in the short-term.
Michael Hebner – Wunderlich Securities: Thank you.
Operator: Our next question comes from the line of Christos Doulis with Stonecap Securities. Go ahead with your question please.
Christos Doulis – Stonecap Securities: Hey, guys, just a quick question, couple of quick question. The fixed cost in terms of the mill, the Bellekeno mill, what do you figure that in a quarterly basis?
Clynton R. Nauman: Well, Brad Thrall is on the line here, maybe you can take that.
Brad A. Thrall: Yeah, when you look at the mill, the operation of the mill I would say, probably 50% to 60% of the cost of that mill in terms of labor and power and equipment and those types of things are fairly fixed and kind of the incremental cost when you increase throughput, includes things like additional reagents, material handling and those types of things. So, at about a monthly cost basis it runs around CAD$700,000, CAD$750,000 per month all into operate that mill and that really doesn’t fluctuate too much, based on what are you running 250 tons per day or 350 tons per day again, it’s for the most part those costs are fairly fixed and again primarily being labor and power.
Christos Doulis – Stonecap Securities: Right, that’s great, it sounds like about 9 million a year basically which excess to me, and then the other question I have for you, just you said the Onek development work that largely complete although from what I recall reading the M&A, you guys having quite shorten into the mineralized zone at the time of the eroding it, is that changed, are you now into mineralized got to the system?
Clynton R. Nauman: No, we’re holding short still waiting for the water license we’ve advanced on two levels there the 960 level which is I think 20 meters short of the mineralization then the 970 level which is maybe 50 meters short and that both of those hittings with drilling at the present time as we speak the…
Christos Doulis – Stonecap Securities: Drilling get to the (inaudible) like
Clynton R. Nauman: No. no, our definition for definition
Christos Doulis – Stonecap Securities: Got it, okay, yeah, and then Lucky Queen later on in the year what are you thinking your budget remaining there is, this year?
Clynton R. Nauman: It’s going to take there is couple of hundreds meters of incline on a raised drive there, so it’s about $2.5 million we got about.
Christos Doulis – Stonecap Securities: Okay. And I just curious if you guys are having any chats with Silver Wheaton just given a low silver price environment and kind of the challenge of the first quarter was or whether you guys are still happy to go forward at the 390 level or maybe I just curious what dialogue you’re having a recovery?
Clynton R. Nauman: Well, I mean we have an ongoing normal course dialogue with Silver Wheaton obviously, we deliver silver to them every month, and there is an open dialogue and it continues.
Christos Doulis – Stonecap Securities: Okay. Thank you very much gentlemen.
Operator: Our next question comes from the line [John Nelson] with Private Investor. Go ahead with your question please.
Unidentified Analyst: Thanks. I had a question regarding Silver Wheaton and your cost of silver per ounce, so when you say it’s like last quarter it was $12 an ounce, and now it’s like $15 an ounce. Should I divide that by 0.75 to get your actual cost per ounce, since you actually lose I mean part of the money of your cost doesn’t go to you its lost? In terms of cash flow to your bottom-line?
David Whittle, CA: Yeah, it’s Dave Whittle, John, just throw it into a cost per ounce equivalence, roughly speaking it add about $6.50 on our cost per ounce to take up the Silver Wheaton stream impact.
Unidentified Analyst: So in a way right now, you are, I mean in a way just in terms of operations, it’s like $22 an ounce and silver is a $24 an ounce and that kind of goes into my second question is at what dollar per ounce do you guys go, oh geez, we got a, we think this? And you say it around $22 an ounce, and well actually that once you hit 400 tons on the mills, your cost go down a lot.
David Whittle, CA: Exactly, I was about to make that point, it’s certainly at $16 nowhere and no way happy, at that level and that’s not along that is no way, a long-term sustained cost per ounce, a more normal cost per ounce, number for us is that a 11, 11.50 range if our production is in mid 500, 1,000 ounces a quarter at that level, you are dealing in a different metrics, so certainly look to the production volumes for this quarter, so it’s a normalize for that.
Unidentified Analyst: Okay, is the Silver Wheaton deal available we read is there other terms in terms of minimum production do they have the causes like maybe with other mines, where they can get their money back if you don’t reach a certain production level and things like that.
David Whittle, CA: Yeah, it’s all in our financials and MD&A and the agreements actually are filed on SEDAR and EDGAR on the Internet, but in short we have no minimum production volumes in any given quarter there is a penalty element over the next two years we do have to get to let it run at 400 tons a day for 30 day period satisfy why it’s called a completion test.
Unidentified Analyst: Okay. So, on, regard to the water rights that was I projected back in December is there some snag that holding up the rights to be able to [miners] or two mines or it’s just get normal bureaucratic delays?
Clynton R. Nauman: Well, I think it’s, the easiest explanation is the later one, it’s normal bureaucratic delays, we don’t’ expect that there is going to be, there are no problems, if it’s just taking forever to get it out of the process in system (inaudible).
Unidentified Analyst: Okay, cool. All right, thank you very much.
Clynton R. Nauman: Thanks, John.
Operator: Our next question comes from the line of Chris Lerch with Canaccord Genuity. Go ahead with your question please.
Chris Lerch – Canaccord Genuity: Hi, there, just got a couple of quick questions here for you. First of, what are your plans for capital for 2013 here?
Clynton R. Nauman: Well, we’re reviewing all of our capital at the present time as everybody else in the industry, we, the only capital that VPO is really mandatory to spend and these were to invest at this point is that any capital is required to round out our mining fleet we have acquired the mining fleet from the contractor, but we’re also 80% long haul mining at Bellekeno now, so there’s supplementary equipment that’s going to be required to share, but not more than a few $100,000 and I’m determined to put in capital or to invest capital at Flame & Moth to do the preliminary geotechnical, and environmental work and preparation for a complete evaluation of that deposit and a decision at some point to move it towards the production, and it in fact economically qualifies for that, so that would be a couple of the big pieces of any capital that’s remaining at Onek and Lucky Queen that we’ve talked about, and then the sustaining capital at Bellekeno which actually should be fairly minimal most of the developments that’s necessary at Bellekeno has already been done, but we do have these other exploration discoveries which will require some capital to drive exploration platforms from which we can drill to hopefully add to that deposit.
Chris Lerch – Canaccord Genuity: Okay, and what would you think of that would be then just to keep it going?
Clynton R. Nauman: Well, I just, if you want it round numbers I would say it’s less than $4 million.
Chris Lerch – Canaccord Genuity: Okay. And what grades and tonnage are you expecting for the Q2 here?
Clynton R. Nauman: I think that grades are going to be up and down month-over-month and quarter-over-quarter, but at the end of the day, we should be somewhere in the 700 gram range over the course of 2013. And we should be as I mentioned producing in that 500,000 ounce range per quarter.
Chris Lerch – Canaccord Genuity: Okay, that’s great. Thank you.
Operator: There are no further questions at this time.
Clynton R. Nauman: Okay, so, I just want to make the final comments here, thanks for your interest in Alexco and for your questions today. The nervous time for many questions [from our] investors for sure, in the end we feel that Alexco’s fundamentals haven’t changed, even though we may need to make some adjustments along the way to reach our goals. The Keno Hill District remains one of the most prolific high grade silver districts in the world and we’re still committed to unlock the net value in the long-term. As always that we appreciate your support. And with that, I’ll turn it back to Vicki to close out the call.
Vicki Veltkamp: You’ve been listening to the May, 2013 Alexco Resource Conference Call. We encourage investors to visit Alexco’s website for further information, and that’s at www.alexcoresource.com. If you have further questions after today’s call you can call 604-633-4888 or email us at info@alexcoresource.com and that concludes today’s call. Thank you for joining us and have a good day.
Operator: Thank you. You may disconnect your lines at this time we thank you for your participation. Have a great day.